Operator: Please standby we are about to begin. Good day everyone and welcome to Ryerson’s First Quarter 2016 Earnings Conference Call. Today’s conference is being recorded. For opening remarks and introductions, I would like to turn the call over to Ryerson’s Head of Communications, Christopher Bona. Sir, you may begin.
Christopher Bona: Good morning. Thank you for joining Ryerson Holding Corporation’s first quarter earnings call. I am here this morning with Eddie Lehner, Ryerson’s President and Chief Executive Officer; and our Chief Financial Officer, Erich Schnaufer. Kevin Richardson one of our two regional Presidents in charge of North American Operations and the Regional Chief Financial Officer, Jim Claussen who is standing in for Mike Burbach, our other Regional President responsible for North American operations is attending his daughter Meagan's college graduation will be joining us for Q&A. We congratulate the Burbach family and Meagan on her achievement. Before we get started, let me remind you that certain comments we make on the call will contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from those suggested by the forward-looking statements. Such risks and uncertainties include, but are not limited to, the volatility in metals demand and prices, the cyclicality of the various industries that we serve. Forward-looking statements provide our current expectations or forecast of future events. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date they are made and are not guarantees of future performance. Important factors which may cause results to differ from expectations are included under Risk Factors in our annual report on Form 10-K for the year ended December 31, 2015. In addition, our remarks today refer to several non-GAAP financial measures, including some that exclude LIFO expense or income that make adjustments for certain items such as impairment charges and assets in gain and debt retirement. These non-GAAP measures are intended to supplement, but not substitute, for the most directly comparable GAAP measures. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is provided in our first quarter 2016 earnings release filed on Form 8-K yesterday, which is available on the Investor Relations section of our website. With that in mind, I'll turn the call over to Eddie.
Edward J. Lehner: Thank you, Chris. It’s a pleasure to be here this morning to talk about Ryerson’s first quarter performance. First let me thank my Ryerson colleagues for a job well done. I have not seen it done often in our industry whereby selling prices decline and industry shipments contract and yet our margins expand by 300 basis points, our expenses go down by 6%, our inventory returns in under 75 days, and our EBITDA is higher year-over-year. So four out of four isn't bad, in fact it is really good. When we add to the rest of the continued market share gains and meaningful debt reduction year-over-year, our positioning and upside operating leverage for tender wires and optimistic about it's near-term and long-term future. Our success continues to be about our customers, the right strategy to serve them, our people and our execution as we emphasize speed, scale, value add, culture and analytics to provide great customer experiences time after time. And now it is kind of stability and improvement in the metals pricing environment, our financial results show what we are capable of delivering as an organization especially through the lens of difficult industry conditions. For the first quarter of 2016 we achieved our guidance for adjusted EBITDA excluding LIFO. We continue to gain market share, improved our gross margin, effectively managed expenses and working, capital further reduce debt on our balance sheet and posted earnings of $0.43 per share. Against the backdrop of a continued decline in average selling prices, we generated a 300 basis point improvement in gross margin excluding LIFO compared to the first quarter of 2015 as our average cost of material sold excluding LIFO declined faster than average selling prices. Supply chain and price book management were excellent through the quarter. On the expense side we exceeded our expense reduction target and further improved our operating leverage with a reduction in expenses per ton. In the first quarter we generated cash flow from operations of 47 million due to positive earnings and industry leading working capital management. Using the cash flow from operations we reduced total debt by 47 million or 5% in the quarter, including the repurchase of 25 million principal value of our 11.25 notes for 17 million resulting in a gain on debt retirement of 8 million. Year-over-year our debt reduction stood at 18% as our net debt came in at 902 million. We also made the decision to exit the joint venture in Brazil which was underperforming to further enhance Ryerson's intrinsic earning stream and streamline our portfolio of service center assets. Additionally we had expanded our commercial and service bandwidth through our redesigned Ryerson e-commerce store and website. Now registered customers and visitors can buy metal online from Ryerson’s expanding metal super store and make credit card purchases 24 hours a day and 7 days a week. New features will be added to our Ryerson e-commerce platform throughout 2016 as we further evidence our commitment to providing great customer experiences across Ryerson’s expenses and service footprint. In terms of pricing, carbon has been trending upwards since the beginning of the year after stabilizing late in the fourth quarter of 2015, with a Q1 increase and benchmark HRC prices of 15% from year-end 2015. Benchmark HRC, cold-rolled, and galvanized sheet prices have continued moving higher through the second quarter to date, supported across multiple indicators including scrap prices, slab, and billet prices, international prices as well as pending and decided trade cases. Whereas carbon traces led the way in Q1 and thus far in Q2, aluminum and stainless prices have started moving higher as well on lower year-over-year LME warehouse inventories, curtailed output, trade case filings, and prices that had reportedly fallen below the majority of primary producers, cash costs of production. While global industrial activity is measured by PMI indices has shown contraction in China, Canada and the United States for at least the last several months. March figures indicate a faint expansion in both United States and Canada manufacturing economies. Additionally first quarter U.S. GDP figure show the overall economy to be expanding at a very low and slow rate of growth. Macro end market activity reflects this slow rate of growth, as does the most recent ISM report for April that noted inventory destocking and improving order trends but a still subdued manufacturing environment. That said there are recent indicators that growth in Europe and China is stabilizing and trending higher, while the U.S. moves into its presumed stronger GDP quarters of the year, after weak Q1 2016 GDP readings. Given weak but improving PMI rates and lackluster GDP growth, the service center industry still faced headwind from the demand side. Service center industry shipments contracted again in the first quarter of 2016, down 8.5% from the year ago period. In that context Ryerson’s 0.4% year-over-year tonnage gain with strong margin expansion illustrates self help born out of sustainable progress through execution of our business plan. Ryerson did not trade market share for gross margin amidst declining industry shipments. Looking a bit deeper at specific end markets, trends are mixed. The oil & gas market continue to decline, commercial ground transportation weakened as well with notable declines in Class A truck builds and rail investment. Industrial machinery and equipment, metal fabrication, and machine shops are mixed depending on whether levered to consumer or heavy industrial uses. At present end markets tied to the consumer are doing better, while end markets tied to resource extraction and transportation are contracting. Non-residential construction is a bright spot, as is defense and food processing. Contributing to the stabilization and improvement in pricing have been successful trade case determinations and lower import levels. As the carbon sheet cases work their way to finalization, there are the new cases filed in stainless sheet and carbon plate. Given the overall trade and political climate at present, probabilities are on the side of continued affirmative trade case rulings and stronger enforcement regimes following these decisions and recent trade law passage such as the TPA and the ENFORCE Act. Although we are acutely aware of the recency of hyper commodity deflation and surplus global capacities in commodity and basic material production that have weighed heavily upon our industry, Ryerson’s momentum is building and our execution is strong. I want to again thank my Ryerson team mates for putting our customers’ success first and reading the inscription on our blue wristbands of ‘say yes and figure it out’ to the fullest extent. With that I’ll turn the call over to Erich who will discuss the highlights of our first quarter performance.
Erich S. Schnaufer: Thanks, Eddy and good morning. As seen in both the income statement and balance sheet, Ryerson made significant progress in the first quarter of 2016. While average selling prices per ton continued to decline, shipment levels showed market share gains as we grew volumes 8.4% sequentially and 0.4% year-over-year. Gross margin increased to 21% in the first quarter of 2016 which is a record high since Platinum's acquisition of Ryerson in October of 2007. And up 370 basis points year-over-year. Gross margin excluding LIFO was also a record high at 18.9% a 300 basis point increase over 15.9% in the first quarter of 2015. The improvement in gross margin resulted from our cost of materials sold per ton declining at a faster rate than the decline in average selling price per ton. Churning inventory quickly is the key to generating cash and managing our investment in inventory. In the first quarter of 2016, days of supply improved to 74.5 days compared to 82.6 days in the year ago period. Warehousing, delivery, selling, general, and administrative expense was down 7.1 million year-over-year in the first quarter and exceeded our annualized 20 million cost reduction target that we announced last November. Earnings per share was $0.42 in the first quarter of 2016, compared to a loss per share of $0.08 in the first quarter of 2015 and a loss of $0.64 per share in the fourth quarter of 2015. Excluding a gain on the retirement of debt and impairment charges net of tax as reflected in the reconciliation included in the earnings release schedule, adjusted earnings per share was $0.26 in the first quarter of 2016 compared to $0.15 per share in the first quarter of 2015, and a loss of $0.46 per share in the fourth quarter of 2015. As Eddie said, we used our strong cash flow to further reduce our debt. Our debt balance decreased to 977 million and our net debt balance was 902 million at March 31, 2016. We maintained solid liquidity during the first quarter. As of March 31, 2016 borrowings were 250 million on a primary revolving credit facility with additional availability of 240 million. Including our cash marketable securities and availability from foreign sources, total liquidity was 313 million, a 40 million improvement since December 31, 2015. Now I will turn the call back over to Eddie to conclude.
Edward J. Lehner: Thanks Erich. As I said last quarter we have never felt better about how we are positioned as an organization with clarity of purpose and a share commitment to our industry vision, our customers, and our stakeholders. We are also encouraged by metals market in repair and recovery. Although there is a lag effect between announced mill price increases and service center price realizations, we expect to see higher metals prices through the balance of the year based upon emergent supply side trends continuing. Consequently we anticipate adjusted EBITDA excluding LIFO within a range of 50 million to 55 million for the second quarter of 2016 with further upside to adjusted EBITDA excluding LIFO continuing through Q3 2016 should recent pricing trends sustain and move through the supply chain over the balance of the year. With that let's open the call to your questions. Operator?
Operator: Thank you. [Operator Instructions]. And we’ll take our first question from Brett Levy with Loop Capital please go ahead.
Brett Levy: Hey Eddie, Erich, congratulations on a great quarter and also congratulations on the outlook for Q2 and apparently Q3 as well. You guys gained market share, can you talk a little bit about why you think that happened, who’s fading, what are you guys doing right and they are not doing right and I don’t want you to give away your trade secrets or anything like that but clearly you are doing something to accomplish this and any color around that would be welcome?
Edward J. Lehner: Yes Brett, so first thing is Ryerson customers, if you are out there thank you. And what I would tell you is we have done it more on the transactional side which is really good news for us and I am going to let Kevin expand on that a little bit, but we've seen really good growth on the transactional side which really fits well with our strategy. We continue to make really good strides and gains on the program contract side, but clearly coming out of Q4 and really in 2015 when we start to see sustained pickups in market share, they sustain through the first quarter of 2016 and its been led by strength in our transactional business which really means we're getting at the fragmentation in the industry in a manner of with which we're pleased. Kevin.
Kevin Richardson: Yes, hey, Brett, it's Kevin Richardson. Yes, I would just echo what Eddie is saying is what's really encouraging is its very broad based geographically and not concentrated to one end market. But I really think it’s a result of where you can’t discount culture. But we spend a lot of time connecting the network so that inventory is visible across the entire platform. And then we've also made significant investments in new capital equipment that’s starting to take hold. So it’s not one thing, it’s really a lot of things coming together. And the other thing I would say is that the senior leadership team is spending more time in the field than we ever have in the past.
Brett Levy: And this is more of a housekeeping kind of thing. I mean is there a new computer system or something along those lines that’s sort of making this possible, you mentioned this sort of 24-hour credit card availability and that sort of thing, is that somewhat unique to you guys and just generally what is the 2016 CAPEX guidance and how much of it is it in technology?
Edward J. Lehner: Brett, we've made investments in systems. Analytics is a core and foundational part of our strategy. And we're not talking about spread sheet analytics, we're talking about robust analytics similar to what people are reading about and what's being covered in the part of the press right now. In addition to that our e-commerce platform, we just came out with a refresh of our ecommerce platform on ryerson.com and I'm hoping that you’ll actually make a credit card purchase today, Brett.
Brett Levy: I wish I was building something big enough.
Erich S. Schnaufer: Yes, and Brett this is Erich. As far as our CAPEX budget for the year, we all look at a budget of somewhere between $15 million and $25 million. Based on our performance we’ll flex up or down depending on what our needs are. So that kind of gives you a typical range of where we're at, $15 million and $25 million.
Edward J. Lehner: And Brett one more point of punctuation to your question is we're investing in growth CAPEX when we can acquire a unique processing capability that has high value add and high margin. We're also investing a lot of time and effort in mapping supply chains and connecting supply chains so that we can actually map to and take friction out of the supply chain by developing strong relationships with partners that are in processing, partners that have inventory that we may or may not carry. But we also believe that investments in supply chain mapping are very beneficial today and going forward.
Brett Levy: And then we're in an interesting market here just from an M&A standpoint and what you guys are doing maybe a little bit unique. Is the build option or the buy option in terms of like moving into new markets with the new service centers and investing in inventories, a more compelling way to go or is sort of bolt on acquisitions of existing guy is a better way to go? And then lastly, I mean I'm just -– I'm borrowing from Russell Metals Conference Call, they said that their M&A plans include bolt on acquisitions in Canada and the United States. And so you guys are coming up on some maturity dates and are you thinking about that, but I mean I also think that guys like Reliance and Russell, they’re sitting on a low liquidity. Are you getting some M&A inquiry and I know I'm going to get only a diplomatic reaction to that, maybe start with the first part of the question, in terms of how you grow, is the build option or the buy option more attractive to you at this point?
Edward J. Lehner: Brett, it’s not an either or. I mean if you look back in the last year not a lot of people did acquisitions in 2015 and we did one at the tail end of 2014 and we did another one in 2015. And they tend to share common attributes where we don’t really believe in paying for holding gains in inventory, and we don’t believe in paying for huge amounts of goodwill that aren’t really substantiated by unique and differentiated capabilities. That said, we have an active pipeline and we look at deals all the time more of the bolt on variety, but we look at them all the time and we have an active pipeline. And when we can come to terms with one of those, we’ll look forward to that announcement.
Brett Levy: And then just you know last question I promise and then I’ll be back in the queue, what are you guys thinking about your 2017 and 2018 maturities?
Erich S. Schnaufer: Brett, there has been some really good data points in the market over the last 45 days and I think most of the callers know what those data points are, so I won't repeat them here. Given Ryerson’s performance is the fact that we are seasoned credit, we are performing well, and we have very high expectations for ourselves going forward. I have to believe there is a lot of people out there that will feel the same we do so, we’ll see what happens.
Brett Levy: Alright, thanks a ton, and congrats on the good quarter and outlook.
Edward J. Lehner: Thanks Brett.
Operator: Next we’ll go to Jorge Beristain with Deutsche Bank. Please go ahead.
Jorge Beristain: Hey guys, congratulations on the nice quarters, nice to see positive EPSs.
Edward J. Lehner: Amen.
Jorge Beristain: And I just wanted to ask a few questions, I guess just could you talk broadly as to what you see happening in the competitive landscape because simply put, like you said MSCI numbers are down so sharply year-on-year yet the publicly listed companies like yourselves are basically holding the line? So that’s the first question and then secondly, why would you pursue M&A in an environment where it does seem like your competitors are sort of naturally leaving the building?
Erich S. Schnaufer: So Jorge, we’ll take it in reverse. With M&A we’re selective. I mean if something is compelling enough we’ll take it forward but we think we have really good opportunities organically. We like our strategy very much and if something is very compelling within that active pipeline we’ll look to act on it. But we don’t feel any urgency other than to do something that’s really good for Ryerson and its stakeholders. With respect to what's going on with market share, I am going to let Kevin and Jim certainly append to this answer. There is a couple of things going on and I think Jim who sure made some really intelligent comments about this relative to what happens when the industry contracts and we get really acute deflation and people manage to that and lot of people are trying to hang on and survive and get through that, and then you come back up on the other side and you find out that you have bare spots in inventory. A lot of competitor's especially smaller competitors may have a hard time filling complete order request. They can only fill partial request so they have bare spots in inventory. And then they have got a working capital bill coming up on the other side that’s pretty significant as prices rise the way they appear poised to rise. That presents challenges too once they burnt through their floor stock as a price below replacement cost. They had a big working capital not to come back up on the other side. So its two things, one is more sustained in terms of I think strategy and the execution of that strategy which we are very proud of. I think the other thing is going to be more short-term and we’ll see it even turn into something longer-term where people become stretched for working capital in smaller service center companies where they are going to have to fund inventory and investment privately, where they are going to have to work with their ADL lenders to see if they can get additional ADL capacity. And I am going to go ahead and kick it over to Kevin and Jim to add to that.
Kevin Richardson: Hey Jorge, it is Kevin. The only thing I would add to that, I think Eddie is right on, as this is the first time in a couple of years that supply has been relatively tight in some products. And so in the past with some smaller distributors that maybe we are not aligned with any particularly mill strategically would be able to jump in and out of the spot market and get tons on very short lead time. And what we’re seeing right now is this mill lead times have extended and in some cases I mean mills, I am not going to use the word allocation but for sure there are certain categories that are tight on supply. That material is not easy access for smaller distributor so we’re definitely seeing some holes out there in capitalizing and that’s obviously playing to our favor in terms of market share.
Jorge Beristain: Thanks and in terms of you mentioned that working capital, how are you guys going to manage your working capital needs better than your competitors in a rising price environment and have you budgeted for use of working capital in the second half?
Erich S. Schnaufer: So Jorge, look pass this prologue and so I think if you look at our prowess in managing working capital I think you have seen overtime that we have done it very well on the way up and on the way down and we expect we’ll do it very well on the way up again and prove some of the 75 days. That’s not an easy thing to do. I mean I think there is sometimes this feeling that inventories just managed themselves by some kind of invisible hand. But I can assure you that the supply chain organization in Ryerson did a phenomenal job through the second half of the year or through the first quarter.
Kevin Richardson: Jorge, it is Kevin. One of the things I would add, Eddie mentioned in his opening comments about speed and access and visibility and I mentioned it in my comments about how we are growing. But the visibility also works on the inventory side because now that we've connected the entire platform and we can see inventory down at the SKU level across the entire country, it’s a lot easier to balance out inventory and move things between locations. And then we've got the transportation of course to get between our location. So we're able to flex up and down pretty quickly. We've got weekly supply chain calls to talk about the environment that we're in to decide what kind of position that we want to take in any given product. So it is very dynamic but it’s also very analytical.
Jorge Beristain: Okay, thank you.
Edward J. Lehner: Thanks, Jorge.
Operator: Our next question comes from Joel Tiss with BMO. Please go ahead.
Joel Tiss: Hey, guys, how is it going?
Edward J. Lehner: Hey Joel, how are you doing?
Erich S. Schnaufer: Good, Joe.
Joel Tiss: Alright, I wonder if you could do your usual, a little more granular run through of some of the different end markets and give us a flavor of what you're seeing, what the industry is seeing?
Edward J. Lehner: Sure, we’ll go a little deeper than the script. So let’s just take it sort of seasonally first and just say that we think as we get into -– as we get through Q2 and in Q3 we certainly think we’ll see the best quarters of the year. We do see some budding growth drivers out there. Construction is getting stronger. We see end markets levered to the consumer getting stronger. Of course you know oil & gas is still very weak. We know Ag is still weak although there has been some signs that maybe Ag prices are coming up, there may be some momentum building there. We know heavy machinery and mine and still very weak vis-à-vis CAT’s recent announcement that they thought there was a bottoming but still weak. Auto is strong, aerospace is strong as you know. And when we look at -– and I'm going to go ahead and kick it over to Kevin and Jim for a more grainer look at the end markets. But in general there's also a secular piece to this and I’d like to point out because in doing a lot of reading in terms of prepping for the call, there's a realization Joel, that people don’t want to drink leaded water and they don’t want to see trains derail and they don’t want to see bridges collapse, they don’t want to see roads decayed. And so we've been under investing for a long, long time and when you read the St. Louis Federal Reserve Bank’s report on what this period resembles most from 2009 through 2015 into 2016, the period resembles most is 1929 and 1941 and I think we all know what that period of time was like. And so we've been underinvested in really the U.S.’s physical capital for a long time. You're even seeing people come out now like Crawl Icon [ph], like Warren Buffets that are talking about this idea that investment has been very weak and subpar and manufacturing has been underutilized for some period of time. So we think there are catalysts that are starting to emerge for secular growth improvement in manufacturing and in physical investment. And with that I'm going to go ahead and turn it over to Kevin and Jim for a more granular look at what's going on in specific end markets.
Jim Claussen: Hey, Joel, this is Jim Claussen here. Good morning. Just to tag onto what Eddie said, we are certainly starting to see some signs of investment in infrastructure, highway signs, bridge work, things like that, that are good positive signs we're seeing. And then we're also speaking a little bit geographically, seeing some nice improvement in some industrial sectors up in Eastern Canada.
Joel Tiss: Okay. And just can you help us, I don’t know if you normally guide to a free cash flow number or not for the year, I guess you might give us some pieces that we could figure it out, but I just wonder if you could give us a ball park of what you're thinking for the full year?
Erich S. Schnaufer: Yes, it’s very difficult to forecast the cash flow through the entire year. It’s going to be dependent upon how high prices go. So from looking at prior year, you can get a gauge and a sense of when prices are increasing what type of cash needs we need to build into the working capital. So for the full year, there will definitely be a build in working capital but how much it’s going to be is going to be dependent on prices.
Edward J. Lehner: Joel, just for perspective, it was only two months ago when most people had to target on Harbinger [ph] of about 400 to 425, but I remember it was somewhat controversial when we said that we saw Harbinger going to 450. So now that Harbinger is on its way to 650, everybody is busy updating their models pretty frequently. So let me just give you this hint that I think will help, and that just is that on balance at Ryerson really for every dollar of liquidity we can support about $6 to $7 of revenue. So, this goes back to Jorge's question, we feel good about our ability to manage on the way up and one other point I’ll make too is the price increases that have been announced and you look at the lag between when they are announced and when they start to find their way to propagate their way through participants income statements. That really hasn't happened yet. So it is going to be a late second quarter, third quarter, and fourth quarter event and that’s pretty well baked into the next two quarters. I mean we’ll see what would Q4 bring but at this point when you look at the import numbers that are turning towards 2 million and the decreases in the carbon sheet categories, this isn't going to unwind itself in an instance. So this has some room to run and we feel really good about our ability to manage it.
Joel Tiss: Great, thank you so much.
Edward J. Lehner: Thank you.
Operator: We’ll take our next question Justine Fisher with Goldman Sachs. Please go ahead.
Justine Fisher: Good morning. The question that I have is on how trade cases affect imports and steel pricing. So we know that the preliminary dues have already been levied on tonnage and I guess, I don’t know if every ton is now subject to that or if people just aren't ordering imports because if the final determinations are made then they’ll be levied retroactively. But can you explain to us just a little bit more about how the mechanic sort, because if its only preliminary is every ton facing that duty now and maybe some question that might help us understand if let's say that the levies and I don’t think this is a base case but let's say that the levies are not approved in the final determination, what then happens to the import prices?
Erich S. Schnaufer: Well, okay Justine, so let's take a hypothetical that is a possible outcome. I don’t see it as being the probable outcome but let's just take it as a possible outcome and that is the preliminary determinations are reversed, revoided, and worked out in some way and if that happens then I am sure you’ll see imports go up. And imports if you look at the range of imports now we have seen imports at 20% and we have seen imports in a month all the way up to I think 45% to 50% which would have been early in 2015, late 2014 timeframe. So certainly if that were to happen imports I think, the probability because we don’t deal on absolutes we can only deal on probabilities. Probabilities imports would go up. However, let me tell you what's different about this time. What is different about this time to me and I know opinions differ on this but what's different about this time to me is that it is not just one thing. I mean look around the world at all the trade complaints that have been filed already and the ones that are being evaluated and considered for filing around the entire world. Then look at actual legislation that’s been passed in congress which is new and unique through vis-à-vis the TPA and towards that. And I think if you look at the organization of the industry particularly the steel industry in this country, the way the producers are organized in filing these cases and supporting these cases they have a united front and I think they been effective and I think the entire effort if you will has been effective. And I think it is going to continue to be effective until we get to a better approximation of what people believe is fair trade. One of the things that’s really interesting is that the United States has won a trade deficit for 41 years. Since 1975 we run a trade deficit. The goods and services deficit in 2015 was 532 billion and the goods deficit alone was 760 billion. And the two countries that had the biggest surplus were China and Germany and it is not coincidently they seem to have growing and very stable middle classes. And so when you look at the climate in this country right now politically and you look at what people believe is applied to the middle class, you could argue that our trade deficit maybe is out of balance and that some of these things need to come back into balance. And people's sensibilities and their actions are slowly starting to reflect that. So I do think it’s a different time and we’ll see how lasting it is.
Justine Fisher: Okay, thanks. So when people say that trade cases have reduced imports is it the fact that there are actually levies now or is it the threat of future levies being applied retroactively that has just been more of a deterrent?
Erich S. Schnaufer: Well some of these duties, correct me if I am wrong, but preliminary duties get collected and then they are refunded as per determinations are reversed I believe. So, that is number one. Number two is critical circumstances have been levied against certain countries that were determined to be great offenders of the trade laws whether it was with respect to anti-dumping or caterwauling duties. So, these are real things and the personal regimes are getting stronger Justine. So, we think that this has legs.
Justine Fisher: Okay, great. Thanks very much.
Edward J. Lehner: Thank you.
Operator: We will go next to Phil Gibbs with KeyBanc Capital Markets. Please go ahead.
Phil Gibbs: Good morning.
Edward J. Lehner: Good morning Phil.
Phil Gibbs: Erich I had a question on the transactional business. I know when you became public, you are about equally split. You had a lot of program or contract business and you are probably at that point at about 50% transactional. Where do we stand right now, where is the good longer-term target, and secondarily how much of your business right now is more than just brick bulk versus some level of value added processing and then also where you anticipate that to go over the long-term?
Erich S. Schnaufer: Yeah, thanks Phil. I am going to kick this over to Kevin and Jim in just a second. But let me say this, I mean in terms of transactional, let me tell you that we like both. Okay, they are two different businesses. Program contract is more of a supply chain management solution. And transactional is do you have it, can you get it to us, can you get it processed, and can you do it fast at competitive price, and can we transact and can we get off the phone or can we transact via email and get done. And of course transactional tends to be a smaller order size but in contract they tend to be big order sizes managed over longer periods of time with maybe more complex supply chains. We like them both though. We like them both, we are doing both well. But if you ask me, what’s happened over the last 9 to 12 months, our transaction has pulled ahead of program contract by about say 500 basis points. So you would be looking at something that looks more like 55-45 right now, okay. And then I am going to kick it over to Kevin and Jim for some more comments.
Jim Claussen: Phil, the only thing that I would add is, just by the nature of contract business and Eddie is exactly right, we talk a lot on the commercial side and I attribute this to the growth and the fact that we are outpacing the MSCI in significant ways which is a reversal of fortune for us. It is that we are not a company of otters but we are a company of ants and that is we want to grow transaction, we want to grow program, name the product. But by the nature of contract businesses you tend to get a heavy concentration in certain end markets. So, you kind of go up and down the rising tide net of market share gains. What is happening in this environment with the industry being so weak, is that by having our tentacles in so many different places on the transactional side, those customers tend to move in and out of end markets and they are much more flexible. So, you can offset some of the macros. So, I don’t think there is any blend that we magically want to go get but we absolutely need to grow in both areas but it takes a different skill set and a lot of the things that we have been talking about on this call and prior calls in terms of the speed and visibility and the right inventory at the right place. If you look at our footprint we can get almost anywhere in this country within 24 hours. So, it is a very flexible model in terms of being able to deliver by having the inventory in the right place.
Phil Gibbs: Thanks for that color. Eddie or Erich whoever would like to take a stab at this one, I know, someone like a Nucor or Reliance take a view of where they think prices are going to be at the end of the year and mature up the LIFO as the year goes on. I think you have a little bit of a different approach with the accounting in terms of how you measure that on maybe a quarter-by-quarter basis or inventory positioning. So, can you explain to me relative to the LIFO outlook you had before which I think was no -- you had $15 million credit here and what we should expect as prices rise here into the second quarter given your -- given the way that your accounting is setup? Thanks.
Edward J. Lehner: Thanks, allow me to start and then I am going to kick it over to Erich to talk more about the accounting aspect of it. But let me just say this, LIFO for us in the first quarter was great. I mean I think it shows that we turn inventories quickly, and we are able to get our purchase cost down. And so, I mean, LIFO for us in the first quarter was a badge of honor. And we are glad it wasn’t nil. So, for us that pretends lower average cost in inventories. We move through price increases in Q2 and Q3. So, that was managed very well by the team here at Ryerson and in terms of the accounting I am going to let Erich talk more about that.
Erich S. Schnaufer: Sure, Phil, this is Erich. LIFO accounting, I love LIFO accounting. Its great and it is such a difficult topic for a lot of people to understand. The big difference for Ryerson is that our LIFO is calculated as of the end of each quarter. We don’t do a forward projection to the end of the year like a lot of our peers do. Though from that perspective it is very simple for us to basically say what's our inventory that we have on hand, what were the prices, and then we calculate the LIFO income or expense based on that. As far as going forward again, everyone is projecting prices to increase. From that perspective we would expect to have very little impact relating to LIFO expense in the short-term because we did record a lower cost or market charge. So we’re expecting to generate some LIFO income going forward in that expense even though prices are rising. And that’s the current short-term look over the next quarter or two.
Phil Gibbs: Thank you.
Operator: [Operator Instructions]. We’ll go next to Ken [indiscernible]. Please go ahead.
Unidentified Analyst : Hi guys, congratulations on a well done quarter, well executed. Can you comment on change in customer behavior with regards to their inventory in particular given what's going on longer lead times and stocking issues with the mills, and how that’s impacting your business right now?
Edward J. Lehner: Ken, right now it’s a positive cadence [ph] for us because we have inventory and if you give us purchase order number we’ll take your order right now. So we have material and we’re well stocked and I think what has happened in the industry though is people got caught with bare spots and I think customers and I understand the behavior. You can be a little bit skeptical when prices run ahead like they have. You are going to be skeptical, you are going to wait as you are going to a destocking cycle. It took a long time for inventories to clearly channel at the end of 2014 and 2015. And so there was a lot of destocking. But what delayed the destocking was it was hard to find clearing prices that were above the historical cost in inventory. So people didn’t want to sell at that grade of a loss but as demand is contracting that’s a vicious cycle down. Once they were able to clear some inventory and get to their floor stock and actually generate some cash, now that they had come up on the other side and their short inventory and then as you look through the customers and how they review that, they are probably little bit shocked right now by the speed or magnitude of the increases that are being enforced by the mills. The mills, are pretty united on this. We haven't any seen any holes in the mill armor in terms of enforcing these price increases. So I think customers now are, what we know customers now are accepting that realization that prices are going to go up and they need to buy at least to support their backlogs if maybe and probably even consider a mild long position at this point. And I am going to go ahead and I am going to have Kevin and Jim add to that.
Kevin Richardson: The only thing that I would add is we don’t see customers building inventory right now. But we’re certainly watching it closely and its pretty compelling to not let your inventory fly out the door at the current average cost considering where the replacement cost is going. So we run the business and we think about pricing in terms of where no costs are going. But as part of that, there is a lot of education to our customers so that they know what to expect and they don’t get cut short as they bid projects. But a long answer to an easy question is we do not see customers building inventory right now.
Unidentified Analyst : You’ve touched on your competitive position and kind of M&A activity earlier in the call, the trade rags there seems to be a number of companies that are on the ropes. Can you talk about what you’re seeing in terms of and how much of your market share improvement you may tribute to kind of loss of competitors and guys kind of just falling by the way side because they haven't been able to handle a downturn and now they are going to squeeze on the way up with working capital issues?
Edward J. Lehner: Ken, so the second part is more what we would consider being emerging trend which is that’s what is happening now. And so we’re certainly going to be very interested in how that plays out when we look at market share gains going forward. That part about being caught short of inventory, not having inventory, not having working capital support the bill coming back on the other side that’s what is happening now. It’s a more recent event as we go back into 2015 and we look at our market share gains in 2015 which we started just stringing consecutive months together of market share gains. We think that’s a better business model. We think we are doing a better job competing. We think we are doing a better job for our customers. I mean every day Ken, I mean you and I talked about this before, there is more than a million customers in our industry that plays more than 80 million orders a year. And when we look at our addressable end markets, we can participate in about 50 million of those orders. So there are literally thousands of elections going on every hour and people are going with their dollars and I think we will just get more of that.
Unidentified Analyst : Lastly, you done more in terms of balance sheet management since the end of the quarter and specifically with more repurchases of your bonds?
Erich S. Schnaufer: Ken, I don’t think we can talk about that but certainly we’re pleased that we were able to buyback the 11s throughout Q1.
Unidentified Analyst : Okay, thank you.
Edward J. Lehner: Thanks Ken.
Operator: We’ll go next to Owen Douglas with Baird. Please go ahead.
Owen Douglas: Hi guys, a lot of good questions really been asked but just wanted to better understand a bit in terms of what you’re seeing in that program contract business, whether you think that you’re seeing the ability to take additional share gains, just any additional color would be appreciated?
Edward J. Lehner: Sure Kev?
Kevin Richardson: Yes Owen, the answer is yes. We give or take, we have a dedicated sales force to go after that program business. It tends to be higher level negotiations, you got to work out a working capital plan in terms of specific inventory management, it tends to be indexed type pricing that resets, and I’d say the common theme is its customers that have multiple locations and they want to negotiate with one company and they want to have the deals spread across the entire platform. And if you look at who is able to do that, obviously that plays to our strength. So yes, we have picked up share in the program aspect of the business and a lot of that is because of this specific dedicated team that we have.
Erich S. Schnaufer: Owen two things that have happened is one is, the sales cycle on program contract business is long to begin with. It is certainly lot longer than transactional and a lot of it was contract bids got rolled over, got extended given the volatility in pricing and the market. So where you would typically have six month renewals or one year renewals, a significant portion of those contracts got extended to 12 months and 18 months. But customers could really get a better line of sight on the volatility and price. And so we think that environment is going to be more active and is going to be -- there will be more business and play as we come up to 2017.
Owen Douglas: Okay, so if I had to think about the evolution of that contract business, do you see any sort of margin movement one way or the other as these contracts come up for renewal?
Erich S. Schnaufer: Well the bias right now would be for those prices to go up just based on where CRU pricing has gone. So if you were to extrapolate that and say that trend was going to continue then prices would presumably go up.
Owen Douglas: Right, I was thinking sorry about the margin impact you said its sort of an index based piece, so or are you just thinking in terms of the lead lag impact?
Edward J. Lehner: We are thinking about both. I mean both are in play and so it really becomes a timing exercise. But both are in play you expect to see gross margins go up for a period of time and then they would plateau. You’d expect nominal prices go up over a period of time as well.
Erich S. Schnaufer: And Owen, and obviously it has been working the other way the last couple of years so these same programs have been resetting on the downside where you’ve got higher cost inventory going into a lower cost environment. So that’s compressed margins on the way down. And then we would expect the opposite coming back up but it is very specific in terms of the structure of any individual contract and how that resets but the theme that Eddie just went through is exactly right.
Owen Douglas: Okay and just in terms of thinking about the current days of inventory on hand, you guys mentioned getting down to 75 which sounds like a pretty good number, is that the level which you want to maintain on a go forward basis or was there just really you guys able to move a lot more of that inventory to meet customers that were in need?
Erich S. Schnaufer: Our view when its advantageous for us to make investments in inventory we will. So we are not -- we have stayed in a range between 75 and 90, 192 days over the last four to five years. And where we can make advantage buy some inventory we would consider that to be an investment like any investment. So working capital investments can sometimes be very advantaged and very attractive and when they are we may go a little bit long on inventory. But certainly in a deflationary environment where every replacement pound you buy is cheaper than the one that you bought before it, you want to move your organization towards turning those inventories faster, throwing off cash, and be in a position to replace cheaper. So I would say that we employ the right tactics and we execute it very well through Q4 and obviously through Q1.
Owen Douglas: Okay so in the current environment should I then take it to mean that you guys will be looking to go a bit longer in inventory in terms of absolute tons?
Erich S. Schnaufer: I won't say that necessarily but we will be opportunistic if there is opportunities and we will take advantage of them. If not we’ll maintain very prudent working capital practices as we always have.
Owen Douglas: Okay, thanks very much guys.
Edward J. Lehner: Thanks.
Operator: [Operator Instructions]. We’ll take our next question from Ed Hole with Putnam Investments. Please go ahead.
Edward Hole: Hey guys, appreciate you taking the questions. Good morning. It is just on the guidance, what pricing did HRC Stainless or aluminum are you assuming in there?
Edward J. Lehner: I will tell you, we wouldn’t go into those specific model assumptions on the call. But let's just say that we’re assuming that -- let me say there is various strength in stainless sheet and there is obviously strength across carbon sheet and there is less strength even though prices are going up and as the Q bar and carbon plates there is less strength in those categories and aluminum is what I would call neutral right now. So certainly there would be a pull up effect across carbon sheet and across stainless sheet.
Edward Hole: Okay, and on carbon sheet like how much of that is actually baked at this point given our hearing order books out until June and July in lot of cases?
Edward J. Lehner: Well, it is just starting to get into -- its really just starting to propagate through the value chain now. It will start with the mills of course but it will start to propagate through the service center price realizations as well. So I mean that will pick up momentum and if you had to look for it, if you wanted to call a peak right now would be Q3 with some strong tailing out effects in Q4 before things start to level off, that’s the view right now.
Edward Hole: And then turning gears just on the bond buyback, how much is left on authorization at quarter end?
Erich S. Schnaufer: We’ve got the ability to buyback bonds under our debt agreements right now. It is more or less based upon how much of our availability that we want to use rather than it’s a restriction.
Edward Hole: Okay, I thought that you had a Board authorization to buyback a certain number of bonds if that was 100 million?
Erich S. Schnaufer: That’s correct. But I mean that’s a fluid situation. If we have the ability to buy bonds we have a great Board and support of Board and so that’s something that we could evaluate quickly and we can act on if the opportunity was there. But yes, that authorization is where I would state it is.
Edward Hole: Okay, great. Appreciate the color. Thanks.
Edward J. Lehner: Thanks.
Operator: Next we’ll hear from Phil Gibbs with KeyBanc Capital Markets. Please go ahead.
Edward J. Lehner: Phil, you are doing an encore.
Phil Gibbs: Thanks again. Well as long as there will be energy in the question I figure one out right. Import spreads across carbon, stainless, and aluminum, generally where is the tightness and where is some pockets of arbitrage right now?
Erich S. Schnaufer: Sure, so really there is more opportunity then common alloy aluminum. There is some opportunities in stainless sheet and stainless plate but less than they were before the trade case was filed. As you know Phil, the actions really been in carbon and carbon is down, significantly down 29% and 21% across HRC, cold rolled, and galvanized. And even the countries that can start to gap that just don’t have the capacities to really do that meaningfully in a short period of time. In addition to that some things that were late in developing such as European hot rolled coil prices, they were slow to move towards China HRC prices. But the two are really at parity at this point and so those two numbers support about a 545 to 550 HRC number minimum U.S. So when you look at ArcelorMittal's announcement for example, where they I think said they were really taking orders in fixed pen [ph] for July, that was at that time I think $80 for CRU. So which point the CRU is up. That said we just don’t see -- number one is we don’t see a lot of import offers right now. Number two, the spreads are just not that attractive. You can do some things if you are really motivated to do it. You can find a little bit of day light in cobalt, you can find some daylight in carbon plate but there is just not a lot of compelling reasons right now to import.
Phil Gibbs: What about on the carbon longs side?
Erich S. Schnaufer: The thing about carbon long is you have got so much material in depos and you got so much availability and you can turn that working capital quickly and not tie up working capital or letters of credit. So, you can give nice spread. It is not that attractive.
Phil Gibbs: Okay, thanks a lot. Keep the, [indiscernible] money bar going.
Edward J. Lehner: Thanks Phil, we will do it. Thanks.
Operator: It appears there are no further questions at this time. I would like to turn the conference back to Eddie Lehner, President and Chief Executive Officer for any additional or closing remarks.
Edward J. Lehner: Thank you. Ryerson's improved performance across our income statement and balance sheet reinforce that our strategy and our execution are on track. Thank you for your interest in Ryerson. We look forward to speaking with you next quarter.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation.